Mark Frohnmayer: Good afternoon, everyone, and welcome to Arcimoto's Q1 2022 stakeholder update webinar. To start out, I want to call your attention to our safe harbor disclaimer regarding forward-looking statements. This note identifies risk factors that may cause our actual results to differ materially from the content of forward-looking statements for the reasons we cite in our SEC filings. Today's format is going to be a bit different from prior webinars as we have a lot of ground to cover, including the introduction of the two newest members of the executive team. So we are going to save the analyst panel for the Q2 webinar. We've folded answers to many of the questions that came in over the Say platform, and we'll take a few more at the end of the call as time permits. So here we go. While we usually start with a long-form video update in the interest of time, I ask Carl to compress the last 1.5 decades into 30 seconds of video narrative. After that short intro, I'm going to give a little bit of founder's perspective, talk about the leadership growth, financing and the focus of our many shots on goal strategy into our first shot for the wind plan for scale, followed by a factory update from Terry, the introduction of Dwayne Lum, Arcimoto's Chief Product Officer; Lynn Yeager; Arcimoto's Chief Experience Officer; and a Q1 financing and future look update from Doug. Here we go. [Video presentation] All right. Short and sweet. So I just want to give you all a little bit of founder’s perspective. I said it ramp it up, and I'll say it again, Arcimoto is an ultramarathon, being run by a 270 strong team who wear the brand and a whole host of critical industry partners powered by a community of stakeholders with whom we share the vision of a truly sustainable transportation system. Our pace continues to accelerate and I want to start by thanking each and every one of you for all of your hard work and support over the last 14.5 years and for your continued commitment to finishing the run. I have been asked on a number of occasions what is the biggest challenge for Arcimoto. And to be clear, building an EV endeavor from prototyping to get the right idea through product development, regulatory compliance and initial production to constructing the right business models and scaling approach is an incredibly difficult and complex undertaking. And while each of those elements provides a significant challenge, perhaps the biggest challenge from my vantage point is one of leadership, making sure that all of us are rowing in the same right direction even as we take on more in parallel and dramatically expand the team. And that's why just as an anecdote, I am pleased to report that Friday, I had the best executive meeting in the history of Arcimoto. And I believe that we now have the right top-level leadership in place to accelerate for the next big steps of the company's growth. See this as a result of a few things. Our focus on building a winning culture, defining and enhancing our shared values paired with a deep focus on process, how we communicate and work together across the organization, and the recruitment of incredibly talented veteran industry executives focused on each of the key initiatives that are driving the path forward. We introduced Kevin O'Rourke, our new VP of Commercial Operations and Strategy on the last call, and we'll be introducing two more -- the new two members of our executive team during this call. So before I get to that, a lot of the questions that came in were related to the financing of the venture. And so I want to clarify and further expand on some of what we talked about last call, a number of you have been looking for more answers. So I thought I would further clarify the approach. So with partners, Arcimoto has put in place a multipronged financing strategy for growth. The foundation of this approach is the at-the-market facility we put in place with Canaccord Genuity at the beginning of the year. This ATM allows the company to sell shares into the market at the current market price. This foundation allows us to access liquidity at will at times we think are favorable to the company and to our stakeholders as well as the toxic financing structures that are endemic to the microcap market. The next piece is the long-term convertible structure we've put in place last month that allowed the company to onboard additional capital on terms we believe are favorable to the company and to our stakeholders, and introduced no near-term dilution to shareholders. The final piece of our near-term capital formation strategy is a program we call Project Ascent in collaboration with Ducera Partners. Ducera is a leading investment banking advisory practice that has advised more than $750 billion in transactions since its founding in 2015. Arcimoto's Lead Director; and Ducera Partner, Josh Scherer, has been on the Arcimoto Board since 2018 and has helped guide the company through incredibly turbulent times, and growth from a preproduction vehicle start-up to where we stand today. Members of the Ducera team have been long-term investors in the company with real skin in the game. Ducera will be leading the approach we articulated on the last call, to put in place the right funding mechanisms for the long-term growth of the company. Specifically, we are aiming for the right tools for the job. Debt financing for real estate, real estate improvements and capital equipment, fleet financing for Arcimoto-owned vehicles and long-term equity with strategically aligned partners. Longer term, as most of you know, we are further targeting the federal government's advanced technology vehicle manufacturing loan program for additional financing of the mass production of the fully enclosed two-seat consumer Arcimoto vehicle and we're in the pre-application process for what we believe will be our final application to this program. As we discussed on the last call, we see the ATVM funding as being appropriate for the acceleration of scale starting next year. The preparation for this overall capital formation strategy has involved an incredible amount of work on the development of the mass production plan for the company as well as market research and our commercialization approach. I'm very excited about the opportunity we have crystallized. One aside related to the capital structure of the company, as a matter of best practices, Arcimoto has engaged a compliance-driven SaaS provider to track and monitor its shareholder ownership and trade settlement. We want to make stakeholders aware that ownership and settlement analysis over nine months suggests there are sizable and persistent settlement fails and imbalances in Arcimoto's stock. We have identified a handful of banks, broker-dealer and clearing firm participants that feature the most persistent and significant settlement imbalances and we've begun a communication strategy to both alert these firms and request explanations for and resolution of these imbalances. Moving on. As many of you are aware, Arcimoto’s core product strategy revolves around our unique EV platform that packs significant carrying capacity on a lightweight small footprint foundation that shares the vast majority of its parts with every variant of that platform. As we laid out earlier this year the key to achieving platform scale first and foremost is to make the platform itself more scalable, an initiative we call 1.X. We are on track to have the first 1.X prototypes on the road later this spring, focusing first on ride, suspension and steering. I want to acknowledge all of the hard work done by the Arcimoto team and our critical industry partners, Munro & Associates, Stoffel Systems, DW Fritz, and our many supplier partners to help us hone in on this winning-scale 3-wheel EV platform for the future. The second piece of the push to the next big step up in scale is a focusing of our many shots into a first shot for the win approach. The discussions we are presently engaged with leading fleet management companies and large-scale commercial clients that are operating with global footprints, lead us to believe that the Deliverator is the correct focus for this first shot. The rapid growth of the last-mile delivery market, coupled with the fleet mandate for environmentally responsible products and the unique characteristics of our product further confirm this approach. To that end, I'm very pleased to welcome and introduce Dwayne Lum, Arcimoto's Chief Product Officer, who is driving this first shot on win effort to bring the Deliverator to scale production on platform 1.X. Duane, welcome to Arcimoto.
Dwayne Lum: Thanks, Mark, and thanks to all the stakeholders for your continued support. In my many years of product and product development across a number of industries and customer segments, I've learned that ideation and innovation are not synonyms. The former deals with the generation of ideas while the latter deals with their implementation. And the object of innovation is success. Whatever the goals of a business may be, it must make money. To do that, it must get things done. Ideas do not implement themselves, people do. And it takes an organization with know-how, energy, daring and staying power to implement those ideas. I believe at Arcimoto we have these ingredients and it's incumbent upon us to deliver the right mix of the company, to take the company to the next level, and we are. My colleague Kevin O'Rourke mentioned on the last earnings call, and Mark just called the first shot to the win by tailoring our products to suit the needs of business customers, we can offer commercial customers substantially lower vehicle acquisition costs, decrease in annual vehicle maintenance, eliminate expense of fossil fuels and increase their bottom line. For many of our current owners, this is also true. And as we enhance our product mix, add capabilities, reduce the cost and develop new platforms, we will intensify the use of our product life cycle thinking. We’ll leverage market-based instruments and improved professional service reliance as well as enable other key strategies. Arcimoto is set forth on a journey to change the way the world use sustainable transportation. Let's revisit something from our Ramp It Up Event. With the same material and in some cases, cost, consumed to produce 1 conventional vehicle, we can produce eight FUVs or 100 lean-mean machines. So we're not only materially benefiting customers bottom line, we're rightsizing the footprint of transportation while doing so. So how can we build on this? Well, without disclosing future product plans, that is, no matter the business, there's common critical factors in the most successful product development processes. One, product development is a team game. We're leveraging inter-disciplinary teams to focus on our development efforts. Two, process is key. We're applying the use of structure to order and discipline the ascension from ideation to development and launch. Three, speed to market. Agile practices help us produce new and marketable products more rapidly, often making the difference between profitable and non-profitable activity. And lastly, number four, listening to the market. During all stages of development, we will engage directly with those who can influence our direction the most. And at the moment, we're actually acting on some of those key inputs with a strategic cost down initiative enabling us to offer our products at a new price point and serve even more customers. Taken together, these 4 disciplines will help Arcimoto deliver great product experiences to the variety of customers we can serve. I appreciate your time today and look forward to expanding on our drive to innovate in the future venues that we have.
Mark Frohnmayer: Thank you, Dwayne, and very glad to have you on board. In just the short time that you've been here, we've continued to see an acceleration on the product development front, and I think we've got great things ahead.  I want to shift gears from the future to the present and moment at our current product family, specifically focus around our maturing fun utility vehicle and the push to really hone in and streamline the customer experience from when you first hear about an Arcimoto, all the way through all of the touch points to trying it, buying it and taking care of it over time. And I'm very pleased to introduce Lynn Yager, who comes to us again with deep industry background and expertise. Lynn is now, I see behind you, our San Diego Rental and Experience Center -- and Lynn, in just a couple of short weeks has already made a significant impact on our customer experience processes, and we expect that pace of awesomeness to continue. So Lynn, say hello to our stakeholders.
Lynn Yeager: Thank you, Mark. I'm very grateful to be on the team. We have a really talented group of individuals here at Arcimoto. I wanted to just give a little bit of background on my career a little bit. I've spent the last 20 years or so in a variety of sales and client experience leadership roles. Specifically, within the automotive space, I spent a few years back in Tesla in 2016 through 2019, with a few different roles leading our sales and operations strategy for West U.S., I was Director of Sales for California, Hawaii and also leading our global retail performance, which was our in our engagement strategy leading programs to support scaling the organization towards the launch of Model 3. So my focus and my role here is really going to be around evolving our brand experiences from all channels, as you can see I’m in an Experience Center right now in San Diego. That would be basically from building up a thoughtful customer experience that we have now to scaling that from first engagement all the way through to delivery, being very strategic in how we reach our customers and how we sell our products. We are currently expanding on our channels from rental to drive experience and also the way that we engage in the holistic brand approach for Arcimoto. I sort of see our products having 5 different channels. So we have our individual consumer channel. We have our commercial. We have small business. We also have the rental piece of it, which is another revenue stream as well as a really fun and recreational piece that sort of ties all that together. As Mark said, we're really challenging the way that people think about moving around. And so right now, we are trying to look at how we will expand and drive demand to scale our business, getting from a few hundred deliveries to a few thousand deliveries and beyond and sustaining that growth as we go. We currently have an experience center in Eugene as well as San Diego. We have a few rental partners spread out to Florida as well as California and Oregon, and we are also going to be opening in Hawaii, coming up right now. We're in the process of launching Hawaii. As well shortly to come after that, we will be launching engagement in sales in New York. So I'm, again, very excited to be on the team. I truly chose to come here for 2 important reasons. One, the quality of products, I think we have an incredibly thoughtful platform of products that really reach multiple different applications for customers, and really the people. This is a really talented organization, and there's such a fun aspect of our product to really reach multiple different types of client profiles. So thank you again. I appreciate everybody's time.
Mark Frohnmayer: Thank you, Lynn. Before we dive in, I just want to explain a little bit the reason why Friday's executive meeting was the best one I've ever had is because I got to sit through two hours of people smarter than me in every single piece of what we're doing at the company and watch as every problem that I thought I had the answer to got said before I could get it out of my mouth. It was truly awesome to sit around the table with both the grizzled veterans that we've had at Arcimoto that have been tested through year in, year out push from start-up to a public company, getting ready to build at scale and then bringing in industry veterans in both automotive and adjacent fields that have filled in the gaps in such a phenomenal way. And this -- I have great expectations for where this team goes. And then -- so switching gears once again. Terry, are you live there? Can you -- you're in factory what's going on with production now?
Terry Becker: Good afternoon. I'm the roving reporter today. So welcome to the rAMP. This is our final assembly plant where we do the final assembly of the parts and pieces that we make in our fabrication facility and our battery facility and vacuum forming machining. Those parts come here to the rAMP for final assembly. I'm on the line, which is in full motion, 18 stations of people putting together the SUVs, we're at a rate right now of four per day. By the end of the month, we intend to go to six per day. And then toward the end of the year, we will actually double that and do what we need to do to hit our 1,000 for this year. These guys are stellar, super proud of these folks that are putting these vehicles together, and it's good to be in motion. The river is flowing. So I want to give a shout out to all these people that are just doing a great job.
Mark Frohnmayer: Awesome. Thank you, Terry. Great work. Doug Campoli, CFO. Would you like to share your perspective on the growth of the finance team, some of the milestones and wins we've got. And then just a look at Q1 through what we expected versus what we did.
Douglas Campoli: Thanks, Mark. -- first quarter SUV sales revenue was $0.5 million better than planned due to manufacturing completing the move to the ramp and getting back into production faster than anticipated. We believe this puts us on target to achieve our full year production plan. And as we look to exit emerging growth status at the beginning of 2023, I'm very pleased with the growth of talent on the finance and accounting team and their abilities to successfully navigate tighter reporting deadlines and SOX compliance. As part of this growth, on April 26, we announced the engagement of Deloitte with their global talent presence as Arcimoto's independent external auditors. We want to thank DBBMcKennon, our prior auditors for guiding Arcimoto from a private start-up to a public production company. As of this first quarter 10-Q, Deloitte is on board, and we believe they will guide Arcimoto's growth to becoming a global manufacturer. Thank you, Mark.
Mark Frohnmayer: And I'd just like to echo that thanks to DBBMcKennon, those guys who have been with us from before we went public through present moment, they've helped guide us as we have grown from a team of 20 in a small design studio to a sprawling footprint manufacturer and it's been fantastic to have him on the team. Likewise, to welcome Deloitte as our auditing partner, a team that we believe can be with us through the foreseeable future as we grow to scale and a more global footprint. So awesome developments on that front as well. So before we dive into Q&A, Jesse Fittipaldi, do you have any thoughts that you'd like to share with all assemble?
Jesse Fittipaldi: Thanks, Mark. Yes. Now that we're coming out of COVID and people are starting to be able to visit the factory, it's hard for everyone out there that isn't able to see truly what we've created. I gave it to her -- 2 weeks ago to an international team. And when they came out of the tour, their statement was, this is what American manufacturing looks like. And I was really struck by that statement because usually, we hear how good our product is if we give the test drives and people get in it, and they get out and I like that was super fun. I love it, does the thing. But to give a tour of the facility that's creating the product. And for folks that understand what it takes to get to where we are to have them come with the answer that we our American manufacturing is a dream come true for this team. So I just wanted to share that and strongly recommend getting out here and doing it to or to see what we're doing.
Mark Frohnmayer: I'll echo that both Jess and I've had the opportunity, particularly as we come out of the Omicron wave to play host to a number of our significant partners, potential partners, potential customers. We've almost become desensitized, I think, to the joy factor of people experiencing the ride, but it is very heartening to see just the level of stoke from people who have walked through Arcimoto's facilities, getting a very close look at what we are doing on the ground and just the reality of our presence and future plans. So it's been very gratifying and we've -- one of the reasons I'm off the road for the foreseeable future is that for the next coming months, we have a large stream of folks coming our way to see what we are doing and how we're doing it and look forward to sharing with you all the full Arcimoto experience. And with that, let's go ahead and open it up to Q&A. Thank you all again for being here. We'll take at least a handful or 2 of questions, before we wrap it up.
A - Eric Fritz: All right. Looking at the questions on say, I just want to make a note that some of these were addressed in the comments, so particularly around funding. So if you don't see that question or those questions in particular are answered, then I invite you to go back and take a look at the comments that Mark gave at the open. Let's see here. What is the biggest concern currently in achieving mass production for any of the Arcimoto products?
Mark Frohnmayer: So I would say, again, the biggest challenge that I've seen on this face is one of leadership, and that gets challenge that gets bigger, the bigger the team gets, the bigger the problem we're trying to solve gets. But when it comes to the specific development challenges, it is -- and again, I would -- leadership is kind of a fuzzy word, but it is getting all of the various initiatives that we have. And so 1.x includes major changes to the drivetrain of the vehicle. New -- the ability to integrate a new battery system. Changes in the hard points for where we mount the upper chassis and so on. And so getting all of that to be a cohesive planned and effort that is moving along on all of those fronts at the same time is that, that coordination puzzle is to me the biggest challenge in the push to scale. And then on the other side of that, is making sure that we have the facilities moving forward in the same manner. It's a monstrous challenge. And it really is only by having a truly excellent team on board, all aligned around values. And I would say the other side of this is just the incredible work that the Arcimoto team has put in on process development. We want -- we are aiming for Arcimoto in box, which is the -- not just the product but the production plan for the product and our product family so that we can more easily replicate our production facilities, both domestically and internationally. And as you say, it's a huge amount of documentation, communication, development, and we are by no means done, but making very good headway on that front.
Eric Fritz: Next question is Arcimoto currently running 1, 2 or 3 manufacturing shifts to meet demand? If not, how do you expect to hit 7,000 production? Not sure if they're asking exactly about demand of the product or about our plans to get manufacturing more efficient. But...
Mark Frohnmayer: And again, the 7,000 target is next year's production target. The target for this year 2022 is 1,000 units produced, which again is like triple what we did last year. And Terry, to that point, I believe we are on 1 shift now and moving to 2 shifts over the summer?
Terry Becker: Yes. We're one shift now. We'll be to two shifts toward the third -- late third quarter in order to meet the 1,000 vehicles. But the other thing to know here is the fact that we've put together a line that has enough stations that as we pick up speed, we simply put more resources into the stations and make the line go faster. We won't have to rearrange the line, the final assembly. We do have in the plan, everything it takes to ramp up the fabrication of the parts that feed the line. So that's how we'll be ready for next year.
Eric Fritz: Excellent. There's a question here about battery technology related to recent repackaging, does it have any improvements associated with it? And can you speculate on new improvements coming down the pipe?
Mark Frohnmayer: So we've actually got multiple battery initiatives underway. The first is the present -- essentially the present module design that we use required certain tweaks for a form factor change in the pouch cell that we used as well as some changes to the interconnects. That first set of modules are now through testing and compliance is being assembled into vehicles that we're shipping out of the door today. That work will continue through this year. There's a longer-term process, which we talked about very briefly at Ramp It Up, which is our new cylindrical cell packing architecture to use the common form factor 2170 cells that can cells in our packs from -- and this is -- we've developed what we think is an incredibly flexible, low-cost, high-volumetric energy density and thermally safe packing architecture for 2170 cells that will scale from -- all the way from the mainly machine up to very large vehicles. And we have teamed with a company called DW Fritz, were automation experts to work with us to design automated mass production of those battery modules and packs. That program will not come online until next year. And that's part of the overall 1.x development effort. It is in place to give us flexibility on form factor, flexibility on -- in terms of range optionality and supply chain redundancy for what is arguably the most critical part of electric vehicle, the thing that provides the juice.
Eric Fritz: What progress is made in scaling partnerships with market leaders in food and goods delivery?
Mark Frohnmayer: Say that 1 more time?
Eric Fritz: Progress made on scaling partnerships with market leaders in food and goods delivery.
Mark Frohnmayer: So I might have seen the pilot announcement this morning beyond that, and this is stuff that we have alluded to now over a couple of calls is conversations that we are having with some major players in the delivery space, and particularly what we're aiming to get in place in the near term is fleet management for Arcimoto vehicles. So this is financing sort of that -- what Kevin or [indiscernible] talked about on our last call, which was comprehensive turnkey solution for fleet adoption of Arcimoto's fleet products. And that's everything from financing, so being able to by the month instead of having to eat the sticker price upfront through turnkey solutions for service, for fleet management applications for the users themselves and really providing robust packages for fleet adoption. This is something I expect that we will have a lot more to talk about in the near future.
Eric Fritz: When can we expect further expansion in the U.S. specifically states like Texas, which should be a huge market for the SUV?
Mark Frohnmayer: Lynn, would you like to talk a little bit about the rollout approach and the opening of new markets, I believe we've got coming very soon and then some more on deck.
Dwayne Lum: Texas is a special state for me, too. I'm very excited once we are ready to go into Texas. Our plan is to ensure that when we do launch in a state that it's very strategic in our approach to our engagement as well as what our logistics and delivery experience looks like for our customers, ensuring also that we have a mapped out with service. So your ownership experience is well thought out as well. And so right now, our focus is currently on the states that we're already open in and making sure that we're reaching all of those markets within the densities of the states like California, launching more formally in Florida as well as scaling throughout the West Coast. We are opening up Hawaii, which we're in the process of doing now. We will have an experience center there, which essentially will be a hub for a rental center experience, delivery to really focus on the holistic market approach. And then rolling out New York after will be the next state that we go into. So in relation to Texas, we don't have an announcement on that just yet, but rest assured that when we do launch an estate, it will be very well thought out and make sure that the entire experience from the beginning to ownership is planned.
Mark Frohnmayer: Awesome. Looking forward to it.
Eric Fritz: There are a few product update questions asking about full closure, update on MLM. Can you give any updates on those fronts?
Mark Frohnmayer: Sure. So full enclosure will be a part of both our first shot of the wind program in terms of our delivery fleet solution that is a requirement we intend to deliver first in that form. And then likewise, the funding for the advanced technology manufacturing loan program that actually requires the production of vehicles that are fully enclosed cap and carry 2 people vehicles. And so that will be coming. But the full enclosure, if you were at ramping up or you saw some of the photos, we have prototype full enclosure solutions for the FPV product that we have now. Likely one or more of those will make it into production as an accessory. And that would likely include our half door solution with some kind of a soft enclosure upper. When we actually get to the scale production versions that land on 1.x, those will be more of a typically solid fully-embodied solution for this customer. So it will be a stepwise process.
Eric Fritz: From the chat with the current recession or slowdown, would it make sense to pursue the ATVM loan early instead of equity dilution?
Mark Frohnmayer: So it really is all about a comprehensive solution. A piece of that will be equity. A piece of that will be conventional debt, we think. And then the ATVM is really rounds it out for the larger scale push to 50,000-units approach. We see a much nearer-term opportunity to go for towards a much lower scale requirement in terms of achieving cash flow positivity for the venture that $50,000 number is not to get to profitability, that's to get to real scale and deliver on the mission of the company. But we see a much nearer-term opportunity as part of what we're calling Project Ascent to fund the company to the point where it can stand on its own feet. And in terms of dilution, I would just add that I am the -- today is the largest shareholder in Arcimoto. I'm a founder CEO who's been plugging away at this for a long time. I am very conscious of dilution of our stock. That is, I think, one of the -- having a founder CEO with a chunk in the equation, is helpful in terms of really gatekeeping deals and structures that are -- that would be really in the bad interest of shareholders. That being said, what I look for are fair deals that traded a component of dilution for the resources necessary to take the next big steps up in scale. So to me, dilution is not -- by itself is not a bad word. It is necessary in order to grow the company. What is really bad, and we've seen this a lot in the microcap space are deal structures that just -- that can turn into so-called death spiral deals that just wipe out the cap table and totally screw over shareholders. That is something we have avoided and aim to avoid for the foreseeable future.
Eric Fritz: Also from Chad, any perspectives or comments on gross margin as production ramps up?
Mark Frohnmayer: Say that again?
Eric Fritz: Any perspective or comments on gross margin as production ramps up?
Mark Frohnmayer: So ultimately, as we project out, the target for gross margins, and it's been true for a long time is right around 20% gross margins for the products at scale. If you look at what we're doing today, obviously, we're nowhere close to that because all of our manufacturing overhead gets baked into a relatively small number of units shipped. As we scale up the number of units that we ship out the door, the portion of that is manufacturing overhead goes way down per vehicle. And then of course, you layer in economy of scale in terms of purchasing power for parts that we purchase and then all the work that we're doing on 1.x to drive out complexity and cost within the vehicle drivetrain. And that's what gets us through those various steps up.
Eric Fritz: Question and chat about the app update. Any update on the app?
Mark Frohnmayer: We have no updates for you on the app today, but it is something that is very present and that we are chewing away at getting specified and implemented. I think there are -- ultimately, the first version of the app is going to be pretty simple in terms of just the basic functionality that you need for checking in on service, engaging service, vehicle startup. But ultimately, we see a bunch of cool community features that we want to put in that we have not seen done on any other vehicle app. So stay tuned on that front. Again, the target is to have Version 1 of the app available for customers in the fall at the same time that we roll out torque vectoring. And I guess I can add on that front, the team at stockholder is working on Truck Vectoring has just done a phenomenal job moving that program forward. We are -- they are targeting being feature complete this quarter. There is a substantial amount of testing because that is drive critical software. There's a substantial amount of testing we need to do before rolling it out to customers, but that's going to have a huge impact on the low-speed difficulty in terms of steering the vehicle. And then that also provides the foundational layer for our autonomy program, in terms of having the platform, be able to be driven by higher level of supervisory, computers and sensors. And another side here is that our partner faction that is first adopter of the Arcimoto platform, had a very cool demo real they shot us a week or 2 ago. I believe it's out there online on their YouTube channel, but it's the first public demo of an Arcimoto driving with nobody on board, pulling up, avoiding people and that provides the concept foundation for our Robo Vale [ph] initiative as well as factions delivery vehicle that they're using for B2B delivery. So very cool developments in terms of technology on torque vectoring, on the API foundation and then the faction system that sits on top of it.
Eric Fritz: Can you scale up beyond the 1,000 units that demand is there? Maybe you can talk about what goes into that number and how we came to that production number?
Mark Frohnmayer: Yes. And I'll let Terry and Jesse handle this one. We have the machine and team in place to scale to 1,000 with minor additional augmentations that are coming on board, and then we have a few more pieces of significant machinery that will be necessary to get to 7,500. But this also goes back to sort of the timing and placement of the ATVM that what we have figured out what we believe are the approach that lets us scale to that 7,500-plus unit nets without just massive capital spend. And with that, I'll -- Jesse, do you want to chime in and then maybe Terry offer a little piece.
Jesse Fittipaldi: Terry, go for it.
Terry Becker: Well, I just wanted to remention what I had mentioned earlier. What you saw when I walked through the factory was a factory that has been built out with a number of stations to support 7,500 vehicles next year. So at the rate we're going right now, it looks a little slow out there, that's because it's efficient and it doesn't take that many people to build 4 vehicles a day. As we go to 6 next month and then 12 per day by the fall time, then it will look busier. But again, it's efficient. And the other thing is the equipment that it will take to bring in the fabricated parts, the painted parts, the powder coating, the vacuum formed body panels, all of that, that's set up in the other buildings, that's got people in it, and they're very efficient as well. So we're quite proud of what we've pulled off here with the efficiency of the factory.
Mark Frohnmayer: It's awesome. Thank you, Terry. Fritz, let's take a couple more, and then we'll turn to Luis.
Eric Fritz: Sure. Question right here about the rental revenue model. Can you talk a little bit about how that works and how that's set up?
Mark Frohnmayer: I'm going to pass that one to Lynn. Lynn is now over -- rentals and experience our in-year court. So let's talk rental revenue model.
Lynn Yeager: Sure. Happy to jump in on that. So we have owned and operated rental setup as well as partner rev share rental. And so right now, we have eight partners that we're working with as we just launched those over the last few months. So most important is that they are set up to be successful in the markets that they're in that we're reaching the utilization first that we want to focus on. It's a bet it successful for both partners before we scale and we start to increase our locations around the states that we're currently already in or launching a new state. So it's really important that when we're sort of scaling our rental model, whether that be rev share partner or owned and operated or even for those that have purchased for rentals for their own business that we want to make sure that utilization is there and that the operational piece of it is very easy for the customer experience as well.
Mark Frohnmayer: Thank you, Lynn.
Eric Fritz: Okay. Last question just came in. Are you concerned about the level of short selling on the stock right now?
Mark Frohnmayer: I would refer back to the commentary near the top of the hour related to the third-party SaaS service that we've engaged that is tracking the substantial and persistent imbalances in the reporting on Arcimoto stock, something that we're very -- we are aware of and we have formulated a strategy to address. This is over and above the actual reported shortening that we're seeing on the stock. But I mean, I guess my personal opinion on it, I probably shouldn't share so I won't. But at the very least, I would say, it's a -- we are mission-driven. We believe firmly that we're moving in a smart direction with awesome products. And I'll leave it at that. I did see one other question in there about MLM question mark, question mark. We will have more for you on the MLM coming soon. We have -- as I mentioned on the last call, we have -- we are presently building the first multiples of vehicles on that new platform. They're looking super cool. So once we get those on the road, a lot of very cool stuff to show that should be in call it six weeks. That's an external target MLM team. The internal target is much less than that.
Mark Frohnmayer: All right. Well, guys, with that, let's go ahead and wrap it up. Once again, I want to thank all of our stakeholders, all of our supplier partners are on the call, all of our partners on the call and our team for pushing through very challenging and turbulent times in the world that we all share and continuing to focus on the mission that we share and getting our done. So thank you all. Have a lovely day.